Operator: Good day and welcome to the Logitech Third Quarter Financial Results Conference call. At this time, all participants are in listen-only mode. We will be conducting a question-and-answer session and instructions will follow at that time. This call is being recorded for replay purposes and may not be reproduced in whole or in part without written authorization from Logitech. I would like to introduce your host for today's call, Mr. Joe Greenhalgh, Vice President of Investor Relations and Corporate Treasurer at Logitech. Please proceed.
Joe Greenhalgh: Welcome to the Logitech Conference Call to discuss the company’s financial results for the third quarter ended December 31, 2013. The press release, our prepared remarks and slides as well as a live webcast of this call are all available online at Logitech.com. As noted in our press release we published our prepared remarks on our website in advance of this call, those remarks are intended to serve and place extended formal comments today and they will not be read on this call. During the course of the this call we may make forward looking statements including forward-looking statements with respect to future operating results that are being made under the Safe Harbor of the Securities Litigation Reform Act of 1995. The forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from those anticipated in the statements. Factors that could cause actual results to differ materially include those set forth in Logitech’s Annual Report on Form 10-K dated May 30, 2013, and subsequent filings, which are all available online on the SEC EDGAR database and in the final paragraphs of the press release and prepared remarks from Logitech reporting third quarter financial results for fiscal 2014. The forward-looking statements made during this call represent management’s outlook only as of today, and the company undertakes no obligation to update or revise any forward-looking statements as a result of new developments or otherwise. Please note that today’s call will include results reported on both a GAAP and a non-GAAP basis. Non-GAAP reporting is provided to help you better understand our business. However, non-GAAP financial results are not meant to be considered in isolation or as a substitute for or superior to GAAP results. Non-GAAP measures have inherent limitations and should be used only in conjunction with Logitech’s consolidated financial statements prepared in accordance with GAAP. Our press release includes a table detailing the non-GAAP measures together with the corresponding GAAP numbers and a reconciliation to GAAP. This information is also posted on our Investor Relations website. The slides that accompany this call include both GAAP and non-GAAP measures and are also available on our Investor Relations website. We encourage listeners to review these items. This call is being recorded and will be available for replay on the Logitech website. Joining us today are Bracken Darrell, President and Chief Executive Officer and Vincent Pilette, Chief Financial Officer. I'd now like to turn the call over to Bracken.
Bracken Darrell: Thanks Joe, and thanks to all of you for joining us. I’m pleased by our solid performance in Q3. We grew our total retail sales by 4% and our retail growth categories by 62% with sell through growth closely aligned to those. We also delivered a substantial improvement in the company's profitability. We still have more work ahead but our turnaround is on track. A few comments before we open for questions. Our tablet sales nearly doubled in Q3, like the categories we’re joining, we are getting faster. In another big step forward in our execution our new products were on shelf within days of the iPad Air. Earlier this month at CES we announced a protective keyboard folio for Samsung, soon to be launched Galaxy Pro tablets. And our keyboard folio will be available concurrent with these tablets. I am also very pleased with sales of our Bluetooth wireless mobile speakers, which grew by a 131% in Q3 and a 126% on a year to date basis. The growth has primarily been driven by UE Boom which continues to generate strong demand. It was even our best selling product across all categories in Q3 and is getting lots of amazing reviews. PC gaming delivered 25% sales growth in Q3 with growth achieved across all regions. Our results in the category and EMEA which were relatively weak in Q2 have already begun to improve and confirm that we’re moving quickly to implement operational improvements in the region. As we expected at the start of the quarter sales of our profit maximizing product category such as pointing devices, keyboards and desktops and video, declined in Q3 given the on-going weakness in the market for new PCs which was down by around 6%. Our focus on improving profitability paid off nicely in the quarter with better margins across most of these product categories. Before I wrap up my comments I’d like to turn it over to Vincent for additional commentary for the quarter.
Vincent Pilette: Thank you Bracken and hello everyone. Our ability to deliver 84% growth in non-GAAP EPS on a single digit sales growth demonstrates our progress in adjusting our cost structure. The actions we have taken to restructure the business combined with our on-going focus on streamlining our operations are creating the opportunity for operating leverage. As we anticipated, the cost reduction initiatives we have implemented have resulted in reduced spending in both our cost of goods sold and our operating expenses. Our product costs have improved across most of our product categories resulting in healthy, relatively stable gross margins through the first three quarters of the fiscal year. Our non-GAAP operating expenses declined on a sequential basis from Q2 to Q3 for the first time in five years. We spent less sequentially in sales and marketing while delivering 18% sequential sales growth which demonstrates our progress in unlocking operating leverage while continuing to invest in our growth categories. We are very pleased that we're able to return LifeSize to profitability one quarter sooner that we had expected. The improved bottom-line performance was achieved through portfolio rationalization and reduced spending as we accelerated our actions to streamline the business. Cash flow from operations was $94 million in Q3 and $108 million year-to-date with the year-to-date’s total closely aligned with our non-GAAP operating profit for the same period. This alignment is a key element of our business model and one that we will continue to manage going forward. On that note I will turn it back to Bracken.
Bracken Darrell: Thanks, Vincent. Based on our Q3 performance which combined better than expected sales and a significant improvement in operating income, we've raised our full year outlook for fiscal year 2014. We now expect sales at just under $2.1 billion compared to the previously expected $2 billion and non-GAAP operating income in the range of a $120 million to $125 million compared to the previously expected $100 million. The entire Logitech team is aligned to the goals we outlined when I joined the company. When I took over as CEO in January of 2013, I told you I didn’t join Logitech for a quick turnaround but to build an amazing company, medium and especially long-term. We know that a turnaround in growth and profitability is a critical step in building a path of that amazing company. With these Q3 results we have moved Logitech another important step forward. And with that Vincent and I are available now to take your questions. Please follow the instructions of the operator.
Operator: Thank you. (Operator Instructions). And our first question comes from the line of Alex Duval from Goldman Sachs. Please proceed.
Alex Duval - Goldman Sachs: Yes, hello everyone and well done to management team on a strong set of results. Just wanted to touch first on the question of OpEx, given that on a sort of GAAP basis you are now almost at the fiscal 2014 run rate you have laid out in your long term plan. I was wondering to what extent there could be scope for another round of restructuring given that Logitech did double-digit margins for seven consecutive years before 2008, I wonder to what extent there could be scope to approach those kind of levels specifically given the traction you are showing on some of these new products? My second question finally is just on the gross margin, how I should think about that. You cited in your remarks and you printed that you’ve seen some drag in the quarter from the robust growth in tablet accessories and audio wireless. I was wondering to what extent there is scope for that to normalize upwards and what kind of effect we could see on the overall gross margin?
Vincent Pilette: Hey, thanks Alex. I will take it first on OpEx. This is Vincent. So, back in May when we laid out a three year plan for our turnaround, we said that the first step was really to right size the cost structure. The Company took some restructuring actions and then committed to some savings. We are very pleased to be slightly ahead of that plan in this year in term of delivering on the savings. And as you know in that three year plan it was about to keeping the OpEx at a certain run rate to create the operating leverage as the Company returns to growth. So you will continue to see us focus on getting efficiencies in our overall cost structure and the savings we will capture will be used to fund and fuel the growth moving forward. You also remember that the operating profit margin that was on a GAAP basis were laid out at slightly below 7% for FY16 that’s slightly higher than 8% on a non-GAAP basis. And we are still on track now that and we've right size the cost structure to have this operating leverage and deliver this operating profit margin growth over the next two years. So, that’s for OpEx. On the gross margin level as we said we are somewhat very stable on the gross margin level within a point obviously things may change based on mix but we are working really hard at creating the product cost savings to make sure that we can offset any negative impact of mix. So, from a gross margin perspective I would say stable trending slightly up over the next two years.
Alex Duval - Goldman Sachs: Great, that’s very clear. And I had a quick follow-up just in terms of PC gaming you have shown a very solid performance in this quarter and clearly rectifying some of the issues in Europe, how do you think about your longer term target that you’d set out which initially to me anyway seemed quite aggressive. Do you think that that’s still on track for the longer term given the renewed focus of resources on the PC gaming category?
Bracken Darrell: I think the PC gaming number did come back. We still have plenty of room to do better than that over time. I mean we're not -- we don’t yet have the portfolio that we need to have in PC gaming across the board. It’s not going to happen overnight and we will absolutely fill it in. So, yes, I still feel good about the targets we have set back in the Analyst Investor Day, of course March 6 will be re-talking about all the categories.
Alex Duval - Goldman Sachs: That’s very helpful, many thanks.
Bracken Darrell: Thank you.
Operator: Okay, thank you. And our next question comes from the line of Alexander Peterc from Exane BNP. Please proceed.
Alexander Peterc - Exane BNP: Yes, hi. This is Alexander, thank you very much for taking my question and congratulations for great results. I just have a couple of category questions on audio. Obviously the market share in streaming audio, speakers is not where it is in your leading categories which is mice and keyboards. Do you have any plans for expansion of your line up in audio. Do you think that your current positioning is satisfactory? So how are you planning forward with a specific category which is really booming? The second category I would like you to address is how do you feel about your addressing the smartphone segment. You have obviously started supplying the gaming controller. But do you intend to expand also in charging cases, I saw that [indiscernible] already on sale will that be -- would you be generating the distribution and do you have greater plans for smartphones. And just a small housekeeping question on G&A, the hike in Q4 is that a one-off this quarter -- calendar Q4 I mean fiscal Q3. How should we think about the G&A shaping in the coming quarters? Thanks.
Bracken Darrell: I will pick the first two and then I will hand the G&A question off to Vincent. On the speakers question will we continue to expand the line-up for Bluetooth speakers? We’re certainly always looking at areas where we can continue to offer new products that can meet consumer needs. But I’d say I think we have a lot of room left to grow in BOOM. BOOM had a very good year so far. As we said it was our number one selling product in third quarter. But we can do much better in distribution and in the execution of our distribution around the world. So we have a lot of room left. On the smartphone business yes we did launch a small initiative, it’s a very small initiative in a couple of places and we’re expanding that little bit over time, we’re learning. In the whole smartphone space we’d like to have an initiative in there, we don’t have anything that I would look at right now and say boy we should call that out as a big new growth area today but the goal is to try to build something and the game controller which is a little bit different is really early days, this is the birth of a category and birthing new categories sometimes comes really quickly, sometimes it takes time, we’re prepared for it to take time. And I think we’ll continue to look at that category both from a developer standpoint, from an operating system standpoint and from a product standpoint to continue to evolve and change over time. G&A?
Vincent Pilette: Yes, so Alexander in terms of G&A, so G&A is growing on a year-over-year basis. If you remember last year disappointing results and the valuable compensation was on an all-time low. This year not only we are meeting the target but we are also kicking in some area from accelerators and so the G&A increase on a year-over-year basis is due to that variable compensation. As we move forward if we perform as planned or as target I would expect G&A to be stable to slightly down. Now if you remember when we tackled and talked about the cost structure our first priority was to make sure that we right sized the businesses that we’re losing money, LifeSize is one example of that, and we did that across all categories. Moving forward our next step in term of efficiencies is really to work on the infrastructure functions which a lot of them are in G&A and capture the savings from there to do one of two things, either protect on the downside to deliver the operating profit that was committed or if we continue to perform to fund into new products and the growing categories that we have.
Operator: Thank you. And our next question from the line of Paul Coster from JPMorgan. Please proceed,
Paul Coster - JPMorgan : You've had a little bit of experience now with the Apple category, the tablets and can you give us some sense of what percentage of the sort of life time revenue for the keyboard case you get in the quarter end which the new Apple product launches, and really the reason I am asking this is because my view is that you had some stock outs even for the Air products which is a good thing I suppose whereas you didn’t for the keyboard cases for other -- for a prior generation Apples.
Bracken Darrell: It’s a great question and it’s one that we continue -- that I don’t think there is really definitive answer for it because I think it’s changing. At one point we said it’s about a third happening when somebody buys one, about a third happening the first couple of months, three months and another third happens later, that’s as good as any estimate right now. But I think it will continue to change over time, we’ve really had a very good experience building a business now round the iPad and we expect to continue to do that but the iPad continues to change and it’s continuing to change. We're also as you know trying to build the same kind of ecosystem around Samsung tablets now and we’ll go beyond that when we think there is enough scale. So there is plenty of opportunity in this tablet space and the consumer buying behaviour continues to evolve.
Paul Coster - JPMorgan : And my follow up question is, obviously at least Best Buy as a proxy for what’s happening in bricks and mortar is illustrating the margin pressure that that channel is experiencing owing to online. Can you talk a little bit about online versus bricks and mortar distribution, the channel inventory exiting 4Q and the possibility of some margin squeeze from some of your channel partners?
Bracken Darrell: This is not new to our business, the margin pressure or the retail margin pressure versus the etail margin pressures is not a new thing. I mean it’s been happening now for years. It’s only been happening as long as I have been here and it’s not going to change. And it’s happening all over the world, some places are more extreme than others in terms of the amount of etail development versus retail so far but across the world etail is climbing up there. I think we've got a pretty good way to manage that honestly and do the best we can to make sure that we’re not experiencing margin pressure from that. But it comes back to one simple thing, if you have great products your margins will be sustained if you don’t, they won’t.
Vincent Pilette: And if I can add -- sorry go ahead Paul…
Paul Coster - JPMorgan : No, sorry Vincent please.
Vincent Pilette: I was just going to add two comments in terms of channel inventory just to put some numbers. So our sale on the retail side, our sale into the channel was up 4% on a year-over-year basis. The sales through was up 6% and on a year-to-date those two metrics are fairly aligned. When you look at the total dollar perspective we are lower than we were a year ago. So we feel really good about our overall channel inventory, now obviously by SKU it may change here and there. But I think we’re very comfortable about our position moving forward.
Paul Coster - JPMorgan : All right, thanks. And then just one quick one tax rate was a little lower than we expected, anything interesting happening there?
Bracken Darrell: He asked about tax rate.
Vincent Pilette: So, on a GAAP basis, sorry, I didn’t hear the question, on the tax rate there is a one-time special reserve release due to statutory expiration that’s on a GAAP basis. As you know we’re focusing on the operational rate which is the best proxy the non-GAAP tax rate. The non-GAAP tax rate for the year it’s estimated at 14.7% at the guidance from an operating profit that we’ve given which is $122 million to $125 million of operating profit.
Paul Coster - JPMorgan : All right. Thank you very much.
Bracken Darrell: Thank you.
Operator: Okay, thank you. And our next question comes from the line of John Bright from Avondale Partners. Please proceed.
John Bright - Avondale Partners: Thank you. Vincent, can you talk about the LifeSize, the magnitude of LifeSize cost reductions that were better than you expected and I going to assume those were probably in the sales and marketing component of that?
Vincent Pilette: Yes, John. So just as a reminder operationally and that’s filed in our 10-Q. We lost money on operating basis in LifeSize last quarter, it was in the tune of about $3 million. This quarter we are profitable at around 5% of revenue. On a stabilized revenue streams when we look at the business footprint it was frankly across all of the functions, obviously sales and marketing we still have a better skill set tailored to the revenue but also to the way the market is evolving today. On the R&D side as well we’re moving from hardware centric to hardware and software loaded kind of solutions a lot more cloud based type of solutions. So, that also as part of the reduction and on the G&A we also right size. So my answer would be it has been right size for the current level of revenue it was across all functions and now the team is entirely focusing on profitable growth.
John Bright - Avondale Partners: What’s the status of -- Harmony's profitability I know you don’t want to give specifics but maybe give us an idea of status of Harmony's profitability?
Bracken Darrell: Well, we promised that -- we committed to you and to ourselves that as we exit this year, the back half of the year, we would -- Harmony would be profitable, Harmony was certainly profitable in Q3 and it will -- we will absolutely meet that goal.
John Bright - Avondale Partners: Bracken let me stay with you for a second. Strategically, one of the important areas will be potentially new products and new category development. I know it’s something that you want to hold close to the vest as you go into this year. But could you give us a flavor for any new categories or particular to product developments, which one you want to share with us?
Bracken Darrell: As you said, we’re going to also include close to that. What I would say John and rather than get into specific new categories what I would say is if you -- four of our top six products this quarter were new categories in the last 24 months. Now, a couple of those were iPad Air products with iPad products. But I think that demonstrates we have the ability here to create new categories in this new world that we’re entering. And it’s one of the reasons why I came to the company, I am really excited about the capability to do that, it doesn’t happen overnight but I think you’re going to see more from us over time.
John Bright - Avondale Partners: Thank you.
Bracken Darrell: Thank you, John.
Operator: Okay, thank you. And our next question comes from the line of Youssef Essaegh from Barclays. Please proceed.
Youssef Essaegh - Barclays Capital: Thanks for taking my question. I am going to have two if I may, so the first one is about the mix of products in keyboards. I was very surprised this morning when I read about the volumes continuing to decrease in line with the category but then the sales were up. So, you have given some indication more wireless keyboards in last quarter with the replacement cycle of corporate PC starting next April, assuming those XP support stops, do you expect that mix to go back to something more normal. And my second question is regarding the tablet category. You’ve benefited obviously from a very strong Christmas and focus on tablets and the launch of the new iPad, and although this happens unfortunately only once a year, so I was wondering going forward for the next few quarters how do you see your growth happening and also with Apple becoming less and less of the growth of tablets how do you see your strategy to address the non-Samsung and non-Apple tablets? Thank you.
Bracken Darrell: Okay, on keyboards, if I understood your question well, why did we see the growth in sales or -- it’s a decline in sales actually, the decline in sales and decline in volume. The truth is the keyboard category will keep evolving, it’s not a sudden change in any direction but it will keep evolving. You might remember we have -- we saw -- we’ve seen quite a bit of growth in the keyboard for the living room. I think that’s going to continue. And we will see -- you talked about the replacement cycle in corporate PCs, which is everybody’s favorite topic. But honestly, we’re really not counting on any of that, we’re still expecting a trend line on the overall PC category look like it has, which is down 10% for this year. So, I don’t expect any big changes in the overall keyboard category going forward, I think you'll have some ups and downs but it should, our trend line should be the same. If we have a really much better PC number over time it certainly will help us overall and help us in the keyboard category. On the tablets, I still feel very strongly, very good about tablet, our tablet growth potential. We’ve grown well around the iPad. There is still a lot of attachment rate left to go. We’ve got up room across same thing and probably other tablets going forward. In terms of quarter-over-quarter, we had a very strong quarter this quarter; next quarter certainly won’t be as strong. I think Q2 to Q1 this year is probably kind of what you, you can look at Q4 to Q3 I don’t know whether it will be quite that different, but you will have a little bit of see-saw. But over time the overall trend line on tablets will continue to be very good.
Youssef Essaegh - Barclays Capital: Thank you.
Bracken Darrell: Thank you.
Operator: Okay. Thank you. And our next question comes from the line of Tavis McCourt from Raymond James. Please proceed.
Tavis McCourt - Raymond James: Hey, thanks for taking my question, and nice quarter. Bracken, I wonder if you could give us a little bit of perspective on where you guys are in the Bluetooth speaker category. Obviously, the Boom had a great quarter. It’s a highly, highly competitive category and so I guess any perspective you can give on where you are on a market share basis now? What is reasonable to expect? I think it’s a relatively large market but just kind of the things you expect to bring to the table to maintain growth there in a relatively crowded space. Thanks.
Bracken Darrell: Yes. It is a crowd space, a different business for us. You know when we brought, we brought this UE Boom to market under the UE brand, not Logitech, for the reason you described it’s a crowded space from different competitors. We’re still relatively small but we’re growing market share. I can’t give you specifics because we don’t have them yet, the market shares have come out from Q4 shortly and it varies around the world. We’ve got places around the worldwide where our market share has done very, very well, other places honestly where there a lot of room to grow. Overall, I feel pretty good about where we are. I think we’ve got a product that’s getting really stronger reviews and it demonstrates our capability, create products in that category that can be very attractive even relative to the competitive set we’re in. And we’re learning. We’re still relatively young in this category and as we learn and apply, we’ll get better and better and better. So I am optimistic that we can perform well in this whole Bluetooth speaker space.
Tavis McCourt - Raymond James: Okay, thanks a lot.
Operator: Okay, thank you (Operator Instructions) Our next question comes from the line of Andrew Humphrey from Morgan Stanley. Please proceed.
Andrew Humphrey - Morgan Stanley: Hi. Thanks for taking my questions and congratulations on a great quarter. I had a couple, if I may. One is on OpEx. I think it would be great if you could outline some of the specific initiatives on OpEx that you think have yet to come to full fruition so where there could still be some cost savings to come and any extent to which you can quantify them? And secondly, I wanted to ask about iPads. You’ve given us lots of useful color there. I wanted to ask specifically about the contribution of covers in the quarter relative to keyboards. And what I’m driving out there is if we have kind of reached the point where keyboards have had a good chunk of the refresh cycle from the most recent iPad to what extent are you expecting cases to take over in the next quarter or two?
Bracken Darrell: Well, first, let me answer that one first then I’ll hand off the OpEx question to Vincent. We have had a very good growth curve on the keyboard covers and we launched covers a little while ago, we launched more covers this quarter and we’re gaining throughout that, I would say. It’s still a relatively small part of our overall tablet portfolio, but it’s growing. And that’s a very interesting category for us. It’s another new category that has the potential to be quite sizable. And I think between keyboard covers as I said, I continue to feel that we can see good strong growth over the next year or two.
Vincent Pilette: On the OpEx question, Andrew, we work really first as I mentioned earlier on making sure that certain businesses that were losing money were being right sized and that was across all functions. The company overall, as you remember, to go restructuring we lowered our headcount in the tune of 10% to 15% depending on where you were in the business. And so there you see the results. So, you see a big decline getting into where we think is the right cost structure now to support the growth moving forward. Savings moving forward will come from indirect procurements we work a lot around making our OpEx more valuable, less fix in nature and now we’re going to centralize some of those valuable cost pools and get some efficiencies out of that. The infrastructure functions supporting all of the businesses and the way we approach supporting both regions and businesses also can get more efficient. Those efficiencies will be used to fund some new growth initiatives and then use also to improve the operating profit margin as you create the operating leverage in the business. In terms of quantifying I would go back at this point in time to the model we shared back in May and obviously we’re on track to that model and we’ll stay committed to it, and then on March 6 [indiscernible] will review the overall business model and the impact on the P&L.
Andrew Humphrey - Morgan Stanley: That’s great, thank you.
Operator: Okay, thank you and our next question comes from the line of Joern Iffert from UBS, please proceed.
Joern Iffert - UBS: Hello and thanks for taking my questions, and the first one would be can you a little bit more quantify your success with Samsung and the tablets, and I think you started to introduce products, I think it was September October 2013 and if it’s not so successful, what makes it more difficult versus the success of the Apple and tablets, and the second question would be on the 2015 and 2016 EBIT guidance of $19 million and $150 million and is this under review now, what are you thinking about this. Thanks very much.
Bracken Darrell: I’ll take both those please. On the Samsung you know you asked me to quantify our level at Samsung, we’re not sharing obviously specifics of specific products. What I would say is the attach rate on a Samsung product for a keyboard folio is much, much lower than it is for an iPad, but we believe it’s growing and it’s essential there, there is no reason why you couldn’t see very similar attach rates over time, probably won’t happen overnight, there’s a, the big ecosystem now around the Apple iPad that supports that keyboard cover attach rated and should support it continue to grow. Samsung it hasn’t been there, but it’s coming, you know a lot of this is how well do we merchandise in store around a Samsung product, how much if we promoted it, what’s the awareness of that, so there’s a lot going on there and I would say it’s a good, it’s a cycle whatever that means, a year or two behind where the iPad is but I think the potential is certainly there. In terms of our 2015-2016 guidance or the outline we gave in the Analyst Investor Day, that’s still a number for now. As you know on March 6, we’re going to have another one, we’ll have another and I invite you please come, we'll have another one coming up and that will certainly update where we are.
Joern Iffert - UBS: All right, thank you very much.
Operator: Okay, thank you, and our next question comes from the line of Felix Remmers from Credit Suisse, please proceed.
Felix Remmers - Credit Suisse: Yes, hi everyone, thanks for taking my question, actually I had two, the first question would be on gross margin. I was wondering how the gross margin progression is in tablet accessories. so do you still some volume benefits as this category is growing and if it’s already at the average of the overall company and the second question would be on unified communication, do you think there’s a chance that you can take on players like Plantronics or Jabra in this market because they are growing quite nicely here and then what would you need to like be successful in this market.
Vincent Pilette: Hey Felix, this is Vincent, let me take the first question then I’ll pass it to Bracken for the second one. So in terms of the gross margin as I mentioned we’ve improved almost across all categories our gross margin on a category by category basis and tablets is in that that camp of having improved the gross margin on both a year over year and sequential basis. As we said in that category, the most important criteria of success is first speed and time to market and I think this quarter demonstrate that we’ve made tremendous progress in that area and then as some of those products within that category getting more mature and higher in volume, gross margin is improving, the whole category is improving year-over-year basis, but there is a still slightly below the corporate average.
Bracken Darrell: And on the unified communications front, unified communications is a really interesting space, as we talked about in these conference calls before, we’re developing products both that work with Link and with Jabra and we’re really excited about it. I think it’s one of these hidden gems that we don’t talk about much but I think has a real big potential, we're seeing it, so we’re certainly seeing the growth come here. We don’t break that out separately yet, but it’s a very interesting category for us and you’re right it’s a different competitive set, we compete with different players in different parts of our business and that competitive set is very focused on unified communications but we feel very good about our position in there and the capabilities we’re bringing to that, and I think we can, I think we’ll have a very successful business there, short term and over time.
Felix Remmers - Credit Suisse: Okay, thank you.
Operator: Okay, thank you. It appears there are no further questions. At this time, I’ll turn the conference back over to Mr. Darrell for closing remarks.
Bracken Darrell: Thank you and thank you all so much, I hope we see you March 6, I will close by saying the actions we’ve taken to streamline both the processes and costs are helping us to be significantly faster and more profitable. We’re committed to building a design company, a design company that leverages technology, innovation and consumer insights. And I can’t wait to see all of you or we can’t wait to see all of you at Analyst and Investor Day in New York on March 6. Thanks so much.
Vincent Pilette: Thank you.
Operator: That concludes our conference call for today, you may now all disconnect, thank you.